Operator: Good morning, ladies and gentlemen, and welcome to the Element Solutions Q3 2021 Financial Results Conference Call. Later there will be an opportunity to ask questions during the question and answer session. [Operator Instructions]. I will now turn the call over to Varun Gokarn, Senior Director of Strategy and Finance. Please go ahead.
Varun Gokarn: Good morning, and thank you for participating in our third quarter 2021 earnings conference call. Joining me are Executive Chairman Sir Martin Franklin; CEO, Ben Gliklich; and CFO, Carey Dorman. In accordance with Regulation FD or Fair Disclosure, we are webcasting this conference call. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Element Solutions is strictly prohibited. During today’s call, we will make certain forward-looking statement that reflect our current views about the company’s future performance and financial results and dividend policy. These statements are based on assumptions and expectations of future events that are subject to risks and uncertainties. Please refer to our earnings release, supplemental slides and most recent SEC filings for a discussion of material risk factors that could cause actual results to differ from our expectations and predictions. These materials can be found on the company’s website in the Investors section under News & Events. Today’s materials also include financial information that has not been prepared in accordance with U.S. GAAP. Please refer to the earnings release and supplemental slides for definitions and reconciliations of these non-GAAP measures to comparable GAAP financial measures. It is now my pleasure to introduce Ben Gliklich, CEO of Element Solutions.
Ben Gliklich: Thank you, Varun, and good morning, everyone. Thank you for joining. Despite a problematic supply chain environment and turbulence in the automotive market, our business is thriving. We delivered net sales that were a record for Element Solutions with solid incremental margins and strong free cash flow this quarter, while faced with both logistics and supply chain disorder that drove increased costs and impacted demand. Our people are embodying our culture. They're stepping up to challenges and showing commitment to our company and our customers. This is helping to ensure reliability of service and to mitigate raw material sourcing shortages in our own supply chain. At the same time our organization continues to focus on and deliver against strategic growth priorities, such as power electronics for electric vehicles, new customer wins from our core electronic and industrial markets and sustainability solutions. Underlying demand in our markets remains healthy and while supply chain dynamics will continue to create volatility over the next several months we are more excited than we have ever been about the long-term prospects for this company. We closed our acquisition of Coventya on September 1st and are off to a running start with our integration work streams. The benefits of this combination in terms of growth opportunities and cost savings are becoming increasingly tangible just two months after closing. While we still have significant work to do to realize the value from this combination and carry forward our current momentum through year end, we're energized by the way these teams are working together. Our increased product breadth and expanded set of commercial relationships are already unlocking incremental opportunities for us. The electronics industry continued to grow in the third quarter, bolstered by expansion and communications infrastructure, consumer electronics and automotive electronics. Our electronics segment posted monthly sales records this quarter reflecting robust underlying demand and more importantly, strong commercial execution by our strategic sales and technical service teams. Customer engagement remains strong and customer investment in new capacity continues. Our industrial business was impacted by automotive supply chain constraints, but grew year-over-year as we lapped a quarter that still bore significant impact from facility closures due to COVID. We also benefited from strong demand in construction and other industrial end markets. The surge in economic activity year-to-date continues to challenge a capacity constrained global supply chain and logistics network. Demand for logistics is far outweighing supply across nearly all transportation modes and regions exacerbated by port labeled, labor bottlenecks and COVID-related worker shortages. Although our team has navigated the effects of these factors well when combined with negative mix impacts they weighed on gross profit margins relative to the first half of the year. Inclusive of metals we saw a raw material cost basket increased about 4% sequentially, while freight costs have continued to increase by several million dollars a quarter from their run rate exiting 2020. We've actioned price increases these past several quarters to reflect rising costs, but we have not yet fully offset raw material inflation through price action. Nonetheless, while costs are putting margins under pressure, our adjusted EBITDA margins this quarter were flat year-over-year and improved nearly a point on a metals adjusted basis. This period of inflation may persist, but we continue to take actions to retain our strong margins profile. Given raw material scarcity and logistics difficulty, we have built and retained safety stocks in inventory to help us meet customer demand given ongoing supply chain shortages. While this is impacting our cash flow conversion, we believe that impact is transitory. The fundamental requirements for working capital in this business are unchanged and we expect this buildup to release in the future when supply chains stabilize. On slide three you can see a summary of our third quarter financial results. We grew the top line 13% organically year-over-year and grew adjusted EBITDA by 29% on a reported basis. In constant currency terms, third quarter adjusted EBITDA grew 25% and adjusted EBITDA margins were roughly flat to the same quarter in 2020. While the first few weeks of the quarter benefited from lapping the global manufacturing shutdowns that accompanied COVID-19 in 2020, underlying growth also continued to compare favorably against pre-pandemic levels. Notably, relative to comparable third quarter 2019 figures we grew net sales 11% organically and adjusted EBITDA 14%. Operating leverage on higher volumes offset the headwinds from increased metal prices, higher logistics costs and a return to more normalized OpEx levels as we continue to exit from crisis period cost containment measures of 2020 and early 2021. Adjusted EBITDA margins were roughly flat year-over-year and our OpEx as a percent of net sales was lower versus the third quarter of 2020. We expect a modest sequential increase in OpEx in the fourth quarter as countries continue to reopen. Our adjusted EBITDA margin was 26% when excluding the impact of the $111 million of pass-through metal sales in our assembly solutions business. While pass-through metals create volatility in our reported margins, year-to-date incremental margins excluding this impact have been steadily in line with our long-term targets. Our third quarter is a testament to the power of persistence and productive collaboration. Our customers are happy to have us back visiting in person, technology road map conversations have accelerated, many of our offices have reopened unleashing significant collaborative energy. We remain deeply grateful to our colleagues who have remained focused on supporting our company and our customers. Carey will now take you through our third quarter performance in more detail. Carey?
Carey Dorman: Thanks, Ben. Good morning everyone. Starting on slide four, we review the key drivers of organic sales growth in Q3 across our verticals. The electronics segment grew net sales by 11% organically in the quarter with all three verticals again growing in the double digits. Circuitry solutions grew 14% organically, driven by persisting strength in high-end electronics and memory disk markets. The more typical 3Q seasonal uplift and demand returned due in part to new higher-end mobile launches. We did however see some softness in a few high-end margin product areas linked to delays and production schedules. This is delayed not lost business. Our semiconductor solutions business grew 12% organically driven by strong volume increases across communication and automotive end markets. Sales value for wafer plating and advanced packaging solutions were also driven by inflation and precious metal prices, which would generally pass on to our customers. Assembly grew 10% organically. Demand here came from continued strength in the broader electronic markets and growth in our power electronics products, which mainly serve the electric vehicle supply chain. Our Asian business where most of our sales are generated in this vertical was stronger than Europe and the Americas. While we continued to improve the margin mix within our assembly portfolio, the impact of increased pass through tin prices muted the otherwise strong margin uplift would have seen during the quarter. Constant currency adjusted EBITDA margins in the electronics segment decreased only 60 basis points despite the impact of these metal prices. This result was driven by volume-based operating leverage and positive product mix, which helped largely offset raw material price inflation, net of the pricing actions we've taken and the return towards more normal operating expense levels. The industrial and specialty segment had an even stronger quarter, growing net sales by 15% organically driven by a strong macroeconomic environment and the lapping in the beginning of the quarter of widespread production shutdowns in 2020. Graphics solutions grew organic sales by 19% due to improving conditions in CPG markets as companies are investing in new package designs products and promotions. We saw volume increases from existing customers and strong commercial execution driving new wins across several geographies. Industrial solutions grew Q3 net sales 17% organically seeing year-over-year strength and construction in general industrial end markets, but sequential softness in automotive demand. In the first half of 2021, this business remained relatively insulated from the demand impacts of supply chain disruptions. However, we now believe the magnitude of the recent production rate decline due to material shortages has our customers preparing for a more protracted slowdown. We continue to expect that automotive demand will largely be deferred versus being lost altogether. Exceptionally low inventories and strong consumer demand suggests a potentially strong pipeline of industrial business next year and beyond. Offshore solutions net sales decline 9% organically in the quarter, down $1 million both sequentially and year-over-year. Our energy prices have trended higher and commentary from E&P companies stopped domestic. Investment in drilling and production activity has yet to materially pick up. Constant currency adjusted EBITDA margins in the I&S segment increased approximately 30 basis points in the quarter, as operating leverage and higher volumes and pricing action offset negative mix impacts from lower automotive demand and raw material inflation. We saw a modest increase in SG&A driven by mid-year merit increases, a pickup in customer-related travel and the inclusion of one month of Coventya results in the quarter as well. Turning to slide five. We generated $81 million of free cash flow in the quarter and over $175 million in a year-to-date period. Uses of cash this quarter included our semi-annual bond payment, several strategic growth CapEx projects and additional working capital driven by strong net sales growth and our investment in safety inventory. We now expect our inventory safety stocks to remain elevated into 2022, but believe these levels should normalize over time. On a full year 2021 basis, we expect free cash flow of at least $265 million with the reduction from prior expectations driven primarily by working capital. We increased our cash interest expectation modestly to reflect the add-on to our term loans, which funded a portion of the Coventya acquisition. And we also increased our CapEx expectations to reflect the exciting investments we are making behind capacity to support power electronics and other business growth. Our markets are expanding and we are excited to have organic capital allocation opportunities that meet our hurdle rates and position the business for continued success. Our balance sheet remained healthy in Q3. Net leverage at quarter end was 3.1 times on a trailing 12-month basis reflecting the add-on term loan for the financing of the Coventya acquisition. However, this reflects the contribution of only one month of Coventya earnings. On a trailing 12-month basis including a full-year contribution of Coventya, our net debt ratio would have been 2.9 times at quarter end. We expect to be under three times on a reported basis by the end of the year. Our consistent cash flow generation and leverage well inside our 3.5 times targeted ceiling provide us with meaningful capacity to continue to prudently deploy capital. And with that, I'll turn things back over to Ben. Ben?
Ben Gliklich: Thank you, Carey. Turning to our outlook for the balance of 2021, our updated guidance is on slide six. Our markets remain generally healthy and our teams are executing well against our strategies to capture value beyond market growth. Inclusive of a full quarter of Coventya results we expect fourth quarter 2021 adjusted EBITDA to be approximately $118 million with a contribution from Coventya of approximately $8 million. Electronics demand remains strong. The weak auto market will have a negative impact on our industrial segment relative to previous expectations, while typical seasonality is responsible for the balance of the sequential decline. As you know, our fourth quarter last year benefited from the robust recovery from COVID shutdowns and later than typical new handset platform launches, so the year-over-year comparison is more challenging. We're updating our full-year 2021 adjusted EBITDA expectation to a range of $515 million to $525 million inclusive of four months of Coventya results. This equates to roughly $505 million to $515 million excluding Coventya. Notably, we expect to deliver results within our previously stated guidance range for the full year of 2021 despite an incrementally worse automotive backdrop and less favorable FX environment. We continue to expect full year adjusted earnings per share to exceed a $1.35, which is approximately 40% growth year-over-year. In the context of our strong earnings growth and our expectation for continued growth from here, we expect to increase our dividend again this quarter. The second time we'll have done so in calendar year 2021. We believe 2022 is shaping up to be a year of robust growth. Given the dynamic environment it's early to provide guidance, but the overall outlook is positive. If we'd owned Coventya for the full year in 2021, we would have expected 2021 adjusted EBITDA taking into account the synergies we expect to realize during this first year to be closer to $560 million, and we expect organic growth off of this base next year given the secular trends in our electronics business, an expected cyclical recovery in our industrial business and our proven ability to outgrow both markets through strong execution. We continue to have high conviction around the mega trends powering our end markets and a demonstrated ability to invest prudently behind them. To wrap up, I'd like to thank all of our stakeholders for their continued supportive element solutions and in particular our talented and dedicated people, who help make this outstanding quarter possible. With that operator, please open the line for questions.
Operator: [Operator Instructions] And we will take our first question today from Steve Byrne with Bank of America. Your line is open.
Steve Byrne: Yes. Thank you. Ben, your comments about Coventya sound more constructive after having a couple months with them now. My question for you is your outlook on that acquisition improving more because you see opportunities for productivity? Or is this really more about cross-selling or pricing power outlook from here?
Ben Gliklich: Thanks for the question, Steve. I think the answer is both. The Coventya business outperformed, the forecast we bought the business off of, it has strong momentum despite a weaker automotive backdrop and obviously automotive is a part of that business. The teams are coming together really, really well from a commercial perspective, identifying great opportunities. The relationship strength is very complementary. So certain accounts where Coventya had great relationships, we had weaker relationships and vice versa. So we see a really compelling growth opportunity from the business. And then, from a synergy standpoint as well, the savings opportunities are becoming more tangible and we've got line of sight to delivering in excess of what we've committed to in terms of cost savings in a reasonable period of time. So both growth and savings are making us more encouraged there.
Steve Byrne: And any acceleration in any of that or seasonality to take into consideration to help us estimate what the 2022 EBITDA contribution might be? Is it simply 4x, your EBITDA estimate for Q4?
Ben Gliklich: There's a little bit of variability associated with that driven by automotive, right? Automotive is a key variable that will determine the level of growth in that business. But it's not a bad estimate to take a little bit more than four times eight, because eight is the slow quarter, Q4 is this lower quarter and then add some synergies on top of that. We've tried to do that math for you guys and giving that baseline of about 560 before organic growth into next year.
Steve Byrne: Okay. Thank you for that, Ben. And just one risk I wanted to drill into is whether you see any potential that some of your elect sales in the auto and markets might have been driven by inventory build by your customer? Is that a potential headwind going forward?
Ben Gliklich: It's hard to quantify what's gone into units versus what's waiting to go into units. But the latent demand from the automotive space in the West gives us confidence that there's significant growth potential when the supply chain stabilized that will overcome any potential inventory build.
Steve Byrne: Okay. Thank you.
Operator: Thank you. We will move next to Bob Koort with Goldman Sachs. Your line is open.
Bob Koort: Thank you. Ben, you guys had noted I guess through most of the year your sales into the auto chain weren't reflective of production levels. Should we then think there might be a lag as production comes back? I noticed GM added some shifts -- overtime shifts and talked about supply improving. Was there going to be a little bit of delay to seeing that reflected in your business do you think?
Ben Gliklich: I don't think that there would be a material lag when -- not if but when the auto market comes off of this period of weakness. Our customers have slowed down materially here in the last month and a half and we expect that to persist into the fourth quarter. But we know they're all ready for that market to recover. And some of the outperformance we saw relative to automotive is clearly being driven by other aspects of our industrial business. Our construction related business, our machinery and heavy equipment related business has been posting high double-digit growth on a sequential basis. And that's what's offset some of that automotive pressure. The other thing I I'd note is that content per vehicle is increasing in our industrial solutions business as well as our electronics business. And so, this isn't just a unit story, it's value in excess of units that should allow for us to outperform unit growth when unit growth returns.
Bob Koort: Got you. And then -- and the graphics business you guys mentioned particularly North America strength, the omission of talking of Europe is that a function of it's just not as big a business or is there something about your customers in those markets that haven't responded in a similar fashion to North America?
Ben Gliklich: The graphics business is performing very, very well. It had a great quarter on a year-over-year and sequential basis. That business was just better in North America than in Europe, but it wasn't poor in Europe at all. That performance is being driven by new investment from CPG customers and really strong commercial execution. We're winning a lot of business there and we're poised for another year of good growth in graphics into next year.
Bob Koort: Great. Thanks for the help.
Ben Gliklich: Thanks Bob.
Operator: [Operator Instructions] Today we do ask to allow everyone an opportunity to ask a question that you do limit yourself to one question plus one follow-up question. We'll go next to Kieran de Brun with Mizuho. Your line is open.
Kieran de Brun: Hi. Good morning.
Ben Gliklich: Good morning, Kieran.
Kieran de Brun: I just wanted to dial in a little bit more in the quarter. It seems like you took a lot of actions that helped offset some of these supply and logistical headwinds, and you're taking further actions on the raw material side by building inventories into the end of the year. I just -- if this environment persists a little bit longer than we expect, can you just talk about levers in the quarter that you pulled? And maybe any additional levers you can pull to offset this in the near term?
Carey Dorman: Yes, absolutely. So raw material price inflation and logistics cost inflation were material impact in the quarter, which was expected. We've been taking price over the course of the year. We're not quite caught up from a raw material inflation perspective relative to the price actions we've taken. But we have taken price and you're seeing that through the P&L and we will continue to as necessary to support margins. Logistics costs were a couple million dollars of a headwind sequentially and we expect that to also persist. We haven't taken price relative to logistics as yet. I would note however that our EBITDA margins on an organic basis are up year-over-year over a point and a half. That's been hidden by the pass-through metal impact. So metal price inflation has been staggering this year and so you see that in our reported margins. But excluding the impact of metal we've actually improved our margins year-over-year despite all this inflation. So, we are getting the price that we're trying to take, but we've got a bit more of that to do.
Kieran de Brun: Right. And then just a quick follow-up on the electronic side. I mean, you mentioned the investments that we're seeing from the customer perspective in terms of CapEx, which we should we be thinking about that creating a demand poll maybe in the back half of next year and into 2023? And just how are you positioning yourself to maybe win share as some of these new investments come online?
Ben Gliklich: Yes. So our business has been executing exceptionally well commercially in the electronic space and in our other businesses as well. We have won more business year to date than we won in all of 2020 just as an example. So, we are winning large customer engagements. Our CapEx is higher in part, because we're investing in equipment to support customers new line builds. And so that's what gives us a lot of confidence and conviction not just in the secular trends that are supporting our business, but in our ability to participate disproportionately from them.
Kieran de Brun: Great. Thank you so much.
Operator: And we will go next to Jon Tanwanteng with CJS Securities. Your line is open.
Jon Tanwanteng: Hi. Good morning guys. Thank you for taking my questions. Nice quarter and being able to hold the line in the guidance for the year. It's pretty impressive considering what else is going on in the industry right now. My first question is just in your discussions with customers, are they telling you to expect any easing and supply chain constraints as we head into next year? Do you have any kind of visibility at all? Is there any specific commentary that we should be thinking about?
Ben Gliklich: So, I think that customers particularly in the automotive side, were really trying to or were optimistic entering the third quarter that things will get better by the end of the year and clearly that hasn't happened. And so, our customers are dealing with the reality that a recovery in automotive is going to be delayed at least into 2022. In terms of visibility towards that recovery, we don't have a ton. We see the demand. I think we all see the demand when you look at dealer inventories and used car prices. But when that -- when the bottlenecks that are creating the supply issues here will be resolved [Indiscernible].
Jon Tanwanteng: Okay. Fair enough. And then just on the topic of price increases. Have you been seeing any pushback from customers at all? I know you said, you haven't been able to -- you had pass the logistics costs through. Is there a reason for that? Or is that just something that's down the line and you expect to realize those over the next one or two quarters?
Carey Dorman: Yes. Taking price is never easy, but we've been effective at doing so. There's a bit of a lag always from the decision to take price to the negotiation with the customer to that price increase actually going through, that lag is a quarter or so. Historically, we've had great surcharges on external logistics. Our internal logistics we've covered ourselves. And so some of the cost increase we've seen is associated with our internal freight, which is something we have decided not to pass on. With regard to other raw material inflation that we're catching up on, we are prepared to take action to support our margins as we have here to date and as you are seeing in our margins structure and our ability to withstand what's been very significant raw material inflation year-to-date.
Jon Tanwanteng: Okay. Thank you. That helps.
Operator: We will take our next question today from Josh Spector with UBS. Your line is open.
Josh Spector: Yes. Hey guys. Thanks for taking the question. I guess just first to maybe follow-up on the price cost dynamic and specifically an industrial. So assuming you are getting pricing and if we assume that metals prices and raws kind of stabilize where they are, is there anything you would add to that 360 EBITDA like base for next year for price recapture from price cost headwinds this year?
Carey Dorman: So I'm trying to understand that question, Josh. Are you saying, is there additional earnings growth from additional price actions that would support a number above 560?
Josh Spector: Yes. I guess another way to ask is where would you say pricing is now in industrial? Is that covering -- starting to cover the metals costs? And just trying to think if pricing stays where it is and raw materials stay where they are, is that enough to recover and grow margins absent volumes in that business next year?
Carey Dorman: I see. So raw material prices have inflated over the course of 2021. And we have a bit more work to do to support the very strong margin we had in the first quarter for example. So, I wouldn't be counting on incremental price to contribute growth over and above that 560. The growth above that 560 is going to be driven by volume and to some extent mix, as our mix is increasing as we move more into EVs. The other thing I'd note, you refer to metal price specifically. We pass through most of our metal price. And so while it has an optical impact on margins, it doesn't have a dollar impact to profitability dollars.
Josh Spector: Okay. Fair enough. And just trying to contextualize a electronics year-to-date very strong growth. I don't know if you have the data to say, what you think unit growth was underlying your volume growth? And what your outperformance has been there year to date? And is the driver of that new wins or more content penetration? And does that rate change or that outperformance rate change when we start to think about 2022 better or worse?
Ben Gliklich: Sure. So the best indicator I would say for our electronics business is printed circuit boards volume growth. Circuit board expectations for 2021 are up from call it high single digits to 14%, 15% and we're growing in excess of that clearly, which just is an indicator of outperformance. As we look at what the key indicators are in 2022, we see -- we expect handset unit growth. We expect significantly more 5G handsets. So there's more content per unit. And we expect to continue to outperform by several points given our commercial execution. So we got a lot of conviction in underlying growth and our ability to outperform.
Josh Spector: Okay. Thank you.
Operator: And we will go next to Chris Kapsch with Loop Capital Markets. Your line is open.
Chris Kapsch: Yes, good morning. Just a follow-up question about your electronics business and your formal comments and I guess response to another question about the new business wins addressing the printed circuit board space and ecosystem. You mentioned I guess a good amount of new business and being higher on a year-over-year basis, year-to-date. Can you just talk about the cadence of this activity on a sequential basis as the level of quoting activity been steady, is it improving. What's going on sequential basis?
Ben Gliklich: Yes. So the seasonality we see through the top line is also reflected in the seasonality we see in terms of customer engagement. And so, customers are seeking RFPs and doing technology roadmap exchanges more towards the beginning of the year in advance of platform launches towards the tail end. So some of that commercial activity has slowed down. But that's what we would have expected at this point through the year. And so, we feel good that we built in growth based on our wins in the period to date for next year and beyond.
Chris Kapsch: Okay. And just as a follow-up. Do you think you're -- it sounds like your inclination is that you're gaining share is based on these new account specifications or wins or turnkey system specifications. Can you just talk about that? And is there any change in the competitive behavior, I guess, with your key competitor there in the process of being acquired? Thank you
Ben Gliklich: Sure. Thanks Chris. So for starters from an industry perspective there's much more growth in the high end, higher technology, circuit board space than there is in the lower end. So just naturally by virtue of diverging growth rates the higher end is where the share gains are occurring or the higher end participants are growing share and we're one of those. So we would expect our share to grow just organically by virtue of industry dynamics. That said, we are getting traction in markets that we have underpenetrated that we're strategically investing behind and we've made it very clear to the industry that we are open for business and investing aggressively behind our business, and very, very focused on that. And so, we feel like we've got an opportunity to take some share. And the calculation of share takes a little while and is done in hindsight. But data points do seem positive in that regard.
Chris Kapsch: That's helpful color. Thank you.
Operator: We will move now to Duffy Fischer with Barclays. Your line is open.
Duffy Fischer: Yes. Good morning, Ben.
Ben Gliklich: Good morning, Duffy.
Duffy Fischer: Just a question around the contractual pass-through on the metal and maybe a few of the other raw materials that are contractual. Because they've moved so much can you help us size this year within your COGs, how much do you think is going to be COGs that have contractually moved with price versus those you would actually physically have to go out and try to get price to offset?
Carey Dorman: Yes. It's a good question, Duffy. So, we report the pass-through metals in our assembly business at $110 million in the quarter. We have other metals that are pass-through palladium gold other precious metals like that that aren't captured in that -- in what we report. So all together it's several hundred million dollars of metal that we're passing through. And I would have ballpark, said, there's been inflation of about $200 million in that basket, whereas the balance of our COGs are not contractually pass-through and we've been pursuing price in each of our businesses and successful in getting price in each of our businesses to offset where those raw materials have inflated.
Duffy Fischer: Great. Thanks. And then, when you look at your auto business next year, obviously, you have an idea kind of wins. You have an idea, EV, hybrid, stuff like that. How much faster do you think you can grow volume than the market next year? And again, let's say that number is 3% faster. Does that change whether autos are up 5% or down 5%? Or is that really kind of a linear add-on as we go forward?
Ben Gliklich: Yes. A difficult question to answer. But about 25% of our business is automotive oriented that's captured in both the industrial surface treatment business and in our electronics business. And the reason that we have confidence we can outperform units in auto is because we're seeing increasing content per vehicle in both of those businesses with significantly more content in an e-vehicle versus an internal combustion engine. So one and a half, two times the content on an electric vehicle versus an internal combustion vehicle. And over the long term our expectation is that content per ICE vehicle grows 2%, 3% faster than unit growth. So depending on e-vehicle penetration, you could see in excess of 3% outperformance to units. And I don't see a big difference if units are up 2% or 5% for example or more in that equation. I think the biggest variable is EV penetration out of the unit growth.
Duffy Fischer: Perfect. Thank you guys.
Ben Gliklich: Thanks Duffy.
Operator: And we will take our final question today from Angel Castillo with Morgan Stanley. Your line is open. Angel Castillo, your line is open. Please check the mute function on your phone.
Angel Castillo: Hi. Can you hear me?
Ben Gliklich: Yes.
Angel Castillo: Sorry about that. Hey, good morning. Thanks for taking the question. So just wanted to circle back on the safety stock discussion. One, could you give us a little bit more color as to what is kind of typical inventory days and maybe where have you kind of moved up to? And two, as we think about you mentioned I think next year continuing -- auto safety stock continuing to be as part of the base. Do you need to build more though? Or are we kind of at the right level? And it's just about kind of maintaining this higher safety level?
Carey Dorman: Yes. Thanks for the question. This is Carey. Normally, in our business, we see inventory days between the mid to high 60s getting closer to 70, depending on the quarter. We actually haven't creeped up that much. I think we're a few days higher than we were if we look at our average over the course of several years. We think year to date we've built something like 40 or 50 worth of safety stocks. We intentionally did that. We think that's the right thing to do to support our customers. It's what's supporting the top line growth. And obviously, we think that that inventory will be easily sellable into next year and beyond. As we think about the rest of the year, we're anticipating a small release of working capital to deliver the free cash flow that we've guided to, that's really more driven by the sales, sequential sales expectations than it is anything it became at least of safety stocks. For next year, I would expect when we see the supply chain constraints reduce that safety stock will release and we should see a much better conversion to free cash flow from EBITDA next year.
Angel Castillo: Understood. That's very helpful. And then in terms of growth next year. So, that was very helpful. Thank you for providing the base that we should think about. Is we've kind of contemplate that within kind of the broader scope of your organic growth trajectory that you've outlined in the past investor days, I think it was roughly 4%. Could you give us kind of guardrails as we think about 2022? I know it's early. But what kind of gets you to be above that or below that? And kind of is that the right way to think about 2022 from our organic basis?
Ben Gliklich: Sure. So the basis is the EBITDA before the synergies. We would expect our electronics business to grow in excess of its stable long term rate, just given -- the stable long term rate we communicated at our prior Investor Day given the inflection we've seen from the secular trends that are driving that business really gaining traction in the past two years, the bigger variable of the automotive industry and when it begins to recover. If it recovers towards the first half of the year, you could see significant outperformance relative to that long term target from the automotive portion of the business. And if this recovery is delayed and supply chain issues persist, you can't count on significant growth from that part of the business. So, automotive is going to be the biggest variable as to the magnitude of outperformance relative to that long term growth rate.
Angel Castillo: Thank you.
Carey Dorman: Thanks, Angel.
Operator: And this does conclude our Q&A session for today. I will turn the call back for any additional or closing remarks.
Ben Gliklich: Thanks very much, everybody for joining. We look forward to seeing and speaking with you in the days and weeks to come. Have a good day.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.